Operator: Good day and thank you for standing by. Welcome to Playtika Fourth Quarter 2023 Earnings Call. At this time all participants are in a listen-only mode. After the speaker's presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Tae Lee, Senior Vice President, Corporate Finance and Investor Relations. Please go ahead.
Tae Lee: Welcome, everyone, and thank you for joining us today for the fourth quarter 2023 earnings call for Playtika Holding Corp. Joining me on the call today are Robert Antokol, Co-Founder and CEO of Playtika; and Craig Abrahams, Playtika's President and Chief Financial Officer. I'd like to remind you that today's discussion may contain forward-looking statements, including, but not limited to, the company's anticipated future revenue and operating performance. These statements and other comments are not a guarantee of future performance, but rather are subject to risks and uncertainties, some of which are beyond our control. These forward-looking statements apply as of today, and you should not rely on them as representing our views in the future. We undertake no obligation to update these statements after this call. We have posted an accompanying slide deck to our Investor Relations website, which contains information on forward-looking statements and non-GAAP measures, and we will also post our prepared remarks immediately following the call. For a more complete discussion of the risks and uncertainties, please see our filings with the SEC. With that, I'll now turn the call over to Robert.
Robert Antokol: Good morning, and thank you, everyone, for joining our call today. I would like to begin by expressing my pride in how our employees and businesses have performed over the past year. While the year had many unexpected challenges for us to navigate as a company, it was a year of successful acquisition of two studios, increasing efficiency, continued growth into direct-to-consumer platforms, an increasing focus to our largest and growing franchise as we shifted more of our UA spending to our categories leading games. I'm pleased to announce that despite revenue headwinds, we outperformed our guidance on revenues and credit adjusted EBITDA. Our agility in adapting and optimizing operations in this challenging market has not only enabled us to navigate obstacles, but also to surpass our expectations. In the face of these headwinds, '23 was the year of efficiency for Playtika. This transformation has empowered us to move faster and to make quicker decisions, which I believe will allow us to revamp our business and to get back to sustainable growth. Our commitment to efficiency is not just about doing more with less, it is about empowering our people to sharpen our competitive edge. This approach was critical as the mobile gaming industry continues to navigate challenges due in part to privacy updates, affecting the marketing and monetization of games. I want to emphasize that despite the revenue headwinds we faced, there were bright spots throughout the quarter. Our casual games grew 2% Q-over-Q and 5.5% year-over-year, led by growth in June's Journey, which grew 1.8% Q-over-Q and 33.3% year-over-year. This success shows the strength and critical importance of our portfolio strategy, enabling us to navigate market challenges and capitalize on the opportunity for growth. As we look forward to the future, we have now positioned ourselves for critical phase of the reinvestment. We are setting in motion our new capital allocation framework, which includes an initiation of dividend and intention to deploy between $600 million to $1.2 billion in M&A over the next three years. Our recent acquisitions, Animals & Coins and Governor of Poker, have demonstrated consistent month-over-month growth, reinforcing our belief in growing our game portfolio through M&A. I believe mobile gaming is a pivotal point, with server trends pushing the need for consolidation. Our track record speaks for itself, with previous acquisition driving growth and profitability since I co-founded the company over 13 years ago. In the evolving landscape of mobile gaming, I believe our commitment to M&A will return the company to growth. Finally, I would address an important decision regarding our strategic alternative process. Our current global landscape is unpredictable, especially due ongoing geopolitical conflicts in Israel and Ukraine. These conflicts have introduced a level of uncertainty that has impacted the process, and the Board has decided to pass the evaluation of strategic alternatives. I will now turn it over to Craig.
Craig Abrahams: Thank you, Robert. As Robert mentioned, 2023 was the year of efficiency for Playtika. The strategic decisions that we've made as a company over the last year have further streamlined our operations and enhanced our ability to generate free cash flow. Supported by our strong financial position, I am pleased to introduce our capital allocation framework, focusing on maximizing shareholder value and ensuring our growth is sustained. Our goal is to deploy $600 million to $1.2 billion in M&A to enhance our portfolio and leadership position as well as return capital to shareholders. In line with this strategy, we plan to make significant investments in performance marketing for our newly acquired growth title, Animals & Coins. While this approach is expected to lead to some margin erosion in the near term, it is designed to enhance long-term revenue potential. Furthermore, we remain committed to strategically deploying incremental investments in performance marketing across selected titles within our core portfolio. Our aim here is to seize opportunities to gain market share and drive profitable growth. Our approach is grounded in a long-term vision for success, and we are confident in the strength and potential of our game portfolio. Alongside our focus on M&A to drive growth and diversification, we are pleased to announce the initiation of a quarterly dividend starting in the first quarter of 2024, subject to quarterly Board approval, with a target of $150 million per year in dividends, representing an annualized yield of just over 5% based on our last four-week average share price. Beyond our dividend program, we are looking at other opportunities to enhance shareholder returns, including a share repurchase program in the future. We are committed to a balanced approach in our capital allocation strategy, aiming to invest in growth opportunities, maintain a strong and healthy balance sheet and return capital to shareholders. Turning to our financial results. For the year, we achieved financial results above our guidance range. We generated $2.567 billion of revenue, down 1.9% year-over-year, $235 million of GAAP net income compared to $275.3 million of GAAP net income in 2022 and $832.2 million of credit adjusted EBITDA, an increase of 3.4% year-over-year. Our credit adjusted EBITDA margin was 32.4% compared to 30.8% in 2022. We generated $436.4 million of free cash flow, an increase of 13.7% year-over-year. We define free cash flow as cash flow from operating activities minus capital expenditures. We spent $79.2 million in capital expenditures, which includes purchase of property and equipment, capitalization of internal use software costs and purchase of software for internal use. In addition, we accrued for an additional $17 million of purchases of property and equipment in Q4 '23 that will be paid in Q1 of '24. For the quarter, we generated $637.9 million of revenue, up 1.2% sequentially and up 1.1% year-over-year. Net income was $37.3 million, down 1.6% sequentially and down 57.4% year-over-year. Credit adjusted EBITDA was $188.9 million, down 8.1% sequentially and down 6.8% year-over-year. Our credit adjusted EBITDA margin was 29.6% in the quarter, compared to 32.6% in Q3 and 32.1% in Q4 last year. We generated $161.6 million in revenue from our direct-to-consumer platforms, up 0.4% sequentially and up 7.6% year-over-year. Our direct-to-consumer business now makes up 25.3% of our overall revenues. Last year, we added Solitaire Grand Harvest and June's Journey to our web store. And this year, we'll be adding both titles to additional D2C platforms starting in the second quarter. Turning now to our business results for the quarter. Revenue across our casual themed games grew 2% sequentially and 5.5% year-over-year. Year-over-year growth in June's Journey, Solitaire Grand Harvest and Redecor was offset by weakness in other casual titles, such as Best Fiends and Board Kings. We also benefited from a full quarter's contribution of Animals & Coins, but we are pleased to see consecutive months of sequential growth in the quarter. Bingo Blitz revenue was $150.3 million, up 0.4% sequentially and down 3.1% year-over-year. We are pleased to see a positive shift in financial performance for Bingo as the studio improved sequentially quarter-over-quarter, following a few quarters of sequential decline. The team launched several new projects in the quarter that contributed to the positive performance, such as a new daily layer chase, addition of rolling purchase offers and a redesign of the core collection experience in the game, which helps strengthen the social experience. June's Journey revenue was $77.6 million, up 1.8% sequentially and up 33.3% year-over-year. June's Journey became our third highest grossing game by revenue in the past quarter. June's Journey is the highest grossing hidden object game worldwide and recently surpassed the $1 billion lifetime revenue mark. Our dedication to a player-focused philosophy has elevated June's Journey to the forefront of the story-driven casual gaming genre. By providing a deeply engaging narrative within the expansion universe of June, the game offers a captivating experience for our players. Throughout its evolution, we have regularly rolled out new features and expansions, ensuring that there is something for everyone. Fans in the narrative can explore further with additional side stories, social gamers can collaborate with their club members on solving mysteries and those in search of a challenge can test their skills and competitive events. We have an unwavering commitment to our players and the June's Journey community, and we look forward to continuing to enrich their gaming experience for years to come. Now over to our social casino themed games. Social casino themed game revenue was down 0.2% sequentially and down 4.6% year-over-year. Sequential performance benefited from a full quarter's contribution from our newly acquired Youda Studio. Slotomania revenue was $136.9 million, down 3.6% sequentially and down 8.3% year-over-year. Despite maintaining its position as the number on game in the slot genre, it's important for us to acknowledge that some of our peers have gained share at our expense. This shift can be partially attributed to our own strategic decision to reallocate some of our performance marketing dollars towards other opportunities in our portfolio. While this was a calculated move aimed at diversifying our growth avenues and enhancing our overall position in the market, it has contributed to the market share loss of Slotomania. We recognized the importance of Slotomania to our portfolio and its role in driving consistent revenue margins, and we plan to increase our user acquisition spending this year for Slotomania. This revenue mix shift from declines in a higher margin title like Slotomania, to revenue growth from our casual games, including Animals & Coins, will have an impact on our margins this year. I will reiterate that 2024 will be a year of reinvestment for Playtika, and we look forward to sharing our progress in the coming quarters. Turning to marketing. Our recent launch of several celebrity study campaigns underscores our leadership in leveraging partnerships to amplify our games appeal. Historically, we've embraced off-line campaigns as a key component of our marketing strategy, consistently demonstrating our ability to engage audiences through high-profile partnerships. In the past quarter, we introduced campaigns featuring Sarah Jessica Parker for Solitaire Grand Harvest; Jason Alexander for World Series of Poker; and continued our partnership with Drew Barrymore for Bingo Blitz and Ty Pennington for Caesars Casino. These initiatives underscore our commitment to providing our players with an engaging and immersive playing experience. Alongside our celebrity endorsements, we are also launching the New Year, New Slotomania campaign to celebrate in-game redesigns and new features within Slotomania. Turning now to specific line items in our P&L for the fourth quarter. Cost of revenue decreased 0.2% year-over-year and operating expenses increased 4.8% year-over-year. R&D decreased 14.9% year-over-year. The decline in R&D was driven by lower headcount and savings from lower discretionary spending across the company. Sales and marketing was up 24.6% year-over-year. The increase was driven primarily by investments that we made in Animals & Coins and Governor Poker 3. We also had slightly more performance marketing spend this quarter versus the prior year in our organic portfolio, due to timing of some of our performance marketing campaigns. G&A expenses increased by 2.5% year-over-year. As of December 31st, we had approximately $1 billion in cash and cash equivalents. Looking at our operational metrics. Average DPU increased 2.3% sequentially and decreased 2.2% year-over-year. Average DAU increased 2.4% sequentially and decreased 2.3% year-over-year. ARPDAU was $0.80 in the quarter, a decrease of 1.2% sequentially and an increase of 2.6% year-over-year. Turning now to our guidance and financial outlook for 2024. We expect to deliver full year revenue between $2.52 billion and $2.62 billion. As we selectively ramp up our performance marketing spending for our portfolio, we expect credit adjusted EBITDA between $730 million and $770 million. We expect to deploy $110 million to $115 million in capital expenditures, which includes $17 million in accrued capital expenditures from Q4 '23 that we paid in fiscal year 2024. As we conclude our prepared remarks, I want to emphasize the journey we've embarked on the past few years. Our focus has been on streamlining our operations, enhancing our agility and positioning ourselves as a resilient force and acquire best-in-class assets in the mobile gaming industry. This strategic refinement has enabled us to pivot towards a period of reinvestment in our core business and execute on M&A opportunities. Simultaneously, we remain focused on generating strong free cash flows. Our financial discipline ensures that we maintain the ability to return capital to our shareholders through ongoing quarterly dividends, alongside pursuing growth opportunities for the portfolio. Thank you for your continued trust and support, and we'll now take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Aaron Lee with Macquarie. Aaron, your line is now open.
Aaron Lee: Hey, good morning. Thanks for taking my question guys. I appreciate all the color so far. Just wanted to start by digging into guidance for a bit. So obviously, your guidance of revs are basically flat and then lower EBITDA and margins. Can you just help us understand, is that delta in EBITDA all from the incremental marketing for your recent acquisition? And what do you have baked into those figures? In terms of marketing for the rest of the portfolio, what you're assuming returns from those investments? And any general impact from macro or geopolitical events? Thanks.
Craig Abrahams: Sure. Thanks for the question, Aaron. So as we take a step back and we look at the industry more broadly, obviously, the changes in the advertising world has affected how people, purchase media as well as investing in new games. I think for us, there's two things going on. One, there's a need for us to spend more on some of our legacy titles as well as our acquired titles. And two, there's a mix shift going on, where we've seen growth in the casual titles and declines in the casino themed titles. And the casino themed titles have a higher margin and higher -- some of them have a higher percentage, direct-to-consumer as well. And so as we look at that flow through, there's impact there as well as an increase in marketing for the organic titles as well as the newly acquired titles.
Aaron Lee: Got you. Okay. And then on the M&A target you guys put out there, can you put any guardrails around that for us in terms of how you're thinking about the sizes of acquisitions and what areas we'll be targeting? And do you expect that to be more front-end loaded or back-end loaded? Thank you.
Craig Abrahams: Sure. So I think for us, we've always been opportunistic. I think we've communicated in the past, the right cadence is probably one to two transactions a year, depending on what's available in the marketplace. We do see this environment as one that is a great setup for consolidation, the maturing of the market, the difficulty a lot of the smaller companies have with the advertising market. And so we think we're well positioned. We have $1 billion in cash. We have a $600 million credit facility. The target that we gave really looks at around 50% of our cash being used for M&A and the other 50% being used for capital return. And we think this is a very balanced approach to grow the portfolio as well as return capital to our shareholders.
Aaron Lee: Okay. Got it. Thank you very much.
Operator: Our next question will come from the line of Colin Sebastian with Baird.
Colin Sebastian: Thanks and good morning, good evening. I think you mentioned expanding the number of D2C platforms you're utilizing this year. So first off, just curious if you could expand maybe on what those are and what you're anticipating from those platforms? And then as a follow-up on the M&A, I guess, what are you seeing in the market that gives you visibility to spend that to that level on consolidation? Are there specific trends or specific studios that you're observing that gives you that visibility or something else? Thank you.
Robert Antokol: Hey, thanks for the question. So regarding the D2C platform, as we always said in the few other calls before, we are growing this. We have a target. One important thing, changing the focus of profitability, become -- in the last few quarters become harder. So we are now going to focus more on our D2C platform. We're going to bring more of the games. And for us, it's going to be one of our main targets. Playtika was the first company in the industry that started with the D2C. For us, it was always advantage. We see it right now as a big advantage. Gives us a lot of flexibility about things that we are doing. So again, this is our main -- one of our main focus. And by the way, regarding your question about M&As, again, having a D2C platform is giving us a big advantage of acquiring companies, acquiring games to make the profitability much better with the D2C platform. Regarding the target, as Craig said before, we are opportunistic. And we are looking at all around the market. We're speaking to all the players. We know everything that's happening from the small games starting two months ago to the big games that's running already 12 years. And as we did last year two good acquisitions, this is our target for this year, and we are very optimistic about it. Thank you.
Colin Sebastian: That's helpful. Thanks. Maybe one quick follow-up on D2C. Is your goal for the percent of bookings or revenues coming from D2C channels? Has that changed at all recently? Or do you have the same target out there?
Robert Antokol: No, it's not changing. As we said, it's not changed. But the market is changing. And it's not everything like it was before is today. I think 30%, this is where we are looking to be. This is our target. We believe we will get to this target. And after we'll achieve 30%, we can speak about the next target.
Colin Sebastian: Okay. Thanks, Robert.
Robert Antokol: Sure.
Operator: Our next question will come from the line of Omar Dessouky with Bank of America.
Omar Dessouky: Hi. Thanks so much for taking the question. So first of all, just a quick housekeeping question. When you said 50% of your cash to M&A, the other 50% capital return, are you referring to the cash on the balance sheet or the free cash flow? Or which metrics specifically are you referring to?
Craig Abrahams: Free cash flow. In terms of ongoing free cash flow, that's our target.
Omar Dessouky: Got it. Okay. And when you say capital return, obviously, a couple of ways you could do that. Just wondering why you decided to initiate a dividend rather than reduce debt or start the buyback? That's the second question. And then I have one follow-up on your M&A targets.
Craig Abrahams: We looked at a balanced approach of both investing in M&A as well as dividends and exploring buybacks. And so I think it's a balanced mix. And that's where we came out.
Omar Dessouky: Understood. Got it. Great. And so the explanation of kind of how much capital you could deploy super helpful. Could you give us some more sense of maybe what some of your investment metrics might be? For example, things like cash-on-cash return for your investments, payback period, things like that. Just so we can get a sense of as you go through these acquisitions, what we should expect for your financial performance down the road as these incremental acquisitions layer in?
Craig Abrahams: I think we've been focused historically on acquiring assets at attractive EBITDA multiples and leveraging our operational expertise and know-how to help expand that EBITDA over time. And as we do that, the effect of multiple comes down and look to do accretive transactions that are creating value. And so I don't -- I think every transaction, depending on the segment of the market, it operates in as well as what stage it is in its maturity, we'll have different goals and objectives. But obviously, the underlying goal is creation of equity value.
Omar Dessouky: Understood. Thanks a lot. Appreciate it.
Operator: Our next question will come from the line of Brian Fitzgerald with Wells Fargo.
Brian Fitzgerald: Thanks, guys. A couple of quick ones. Wondering if you give us any sense for how the two recently acquired titles, Governor of Poker 3, Animals & Coins, performed in 4Q? Or maybe help us size the top line contribution from those two.
Craig Abrahams: Yes. So I think as we noted in the prepared remarks, we saw consecutive growth throughout the fourth quarter, which is very encouraging. We're very pleased with the initial results from both of those acquisitions. In terms of the contributions, those are in our 10-K, which has just been filed. I don't have the exact number in front of me right now.
Brian Fitzgerald: Okay. Appreciate it. And then maybe as a follow-up to the D2C questions. Curious to hear your thoughts on Apple's recent concessions on App store fees DMA implementation? And is that kind of -- is that impacting or maybe accelerating your focus on D2C? Or no, we've always been focused on D2C, it's a known strategy. But any reads on, hey, what Apple and DMA are metering through your thought process?
Robert Antokol: So thanks for the question. So this is really early to say. It's only started a few weeks ago. We are still learning. We're still trying to understand exactly the benefit, how to work with this. It's not changing the strategy that we had in the past, and we have right now with the D2C platform. It's not connected to each other. But again, it's a very interesting move of Apple. We -- and I think in a few weeks, few months, we will be -- we will know exactly how it's going to benefit the company in which way. Thanks.
Brian Fitzgerald: Thanks, Robert. Thanks, Craig.
Operator: Thank you. Our next question will come from the line of Drew Crum with Stifel.
Drew Crum: Okay, thanks. Hey, guys. Craig, just to go back to your earlier comments on credit adjusted EBITDA this year. Do you see 2024 as a trough for the business? Or is there a further downside beyond this year, given some of the puts and takes you referenced?
Craig Abrahams: Yes. I think, obviously, this year is a year of reinvestment in the portfolio. I think we're hopeful that we can stabilize the casino themed titles and continue to grow the casual titles. The incentive and compensation plan does end in '24. And so there should be a net benefit from that ending going into '25. But we are not giving guidance beyond '24 at this stage.
Drew Crum: Okay. Fair enough. And then just a housekeeping item. Anything contemplated in your revenue guidance range for 2024 in terms of M&A, that $600 million to $1.2 billion?
Craig Abrahams: Yes, M&A is -- future M&A is not included in our guidance.
Drew Crum: Got it. Okay. Thanks.
Operator: Thank you. Our next question will come from the line of Doug Creutz with TD Cowen.
Doug Creutz: Hey, thank you. Several quarters ago, you guys made the decision to pause internal game development because you just had tough market condition, making it hard to launch new games. In the last few quarters, we've seen some of your competitors launched some very successful new games. So just wondered if you revisited that decision? What your feeling is on new game development at this point? Thank you.
Robert Antokol: So thanks for the question. First, we are really happy to see even our competitors are launching good games because it's still saying that the market is good. So for me, everything that's happening, I'm always trying to see what is the benefit for us and what is the benefit for the market. So it's first saying that the market is healthy. Second, we never had a good history of developing new games. It's not a secret. It's not depend if the environment is good or bad. It's never been our DNA. Yes, we tried many things as a company -- as a big company, that's always trying, but it's never been our DNA. Our DNA was always M&As, and we did very well with M&As in the last 10 years. And I'm not saying that we're not going to have any kind of experience with new games, but it's not the main focus. And our main focus, again, is M&A. This is where we are looking, and this is -- I believe we're going to do one or two deals. I hope even better than the deals that we did last year that was a really good deal. That's it. Thanks.
Doug Creutz: Thank you.
Operator: Our next question will come from the line of Clark Lampen with BTIG.
Clark Lampen: Thanks. I got a question. I want to come back to, I guess, the plan to increase performance marketing spend next year. Craig, could you give us a little bit more color around, I guess, sort of why now? If you look at, I guess, your advertising spend for the last couple of years, it's been pretty consistent after a step-up that we saw in '21, both in aggregate and as a percentage of revenue. And I'm curious if there's something that you saw with your spend maybe in the back half of the year where it started to perform better or you're reallocating the mix? If the budget is growing, is it shifting in a new way? Or should we imagine that this is going to be mostly sort of offline television campaigns? Or any, I guess, incremental color you could provide would be helpful.
Craig Abrahams: Yes, sure. So obviously, the biggest driver is Animals & Coins, which is a title that we acquired last year, and are ramping up growth there. I think in terms of what we called out in the prepared remarks, we are looking at investing more in Slotomania. It is a competitive market, where competitors are fighting for market share. And so we saw the need to invest more there. And then in terms of, strategically, we have selected other titles that we look to invest in to support growth. So I think the biggest change in terms of year-over-year is clearly to support the acquired titles.
Clark Lampen: Got it. And from our seat, we and investors, I guess, as we're trying to measure the ROI on that spend going forward? Should it be -- if you guys are successful with the incremental allocation, will it be primarily driving stronger inorganic growth? Or is there another way that we should try to evaluate that on a go-forward basis?
Craig Abrahams: No. I mean we consider that part of our organic growth, and it's a part of operating our organic portfolio. So I don't -- I think we make changes based on the marketplace where we see opportunities, we invest more and where we don't have the returns that justify those, we pull back. So I don't think there's more specificity that we can provide on this call unfortunately.
Clark Lampen: Okay. That's helpful. And then just one quick one, and I'll get out of the way. As we think about, I guess, the sort of broader capital allocation framework, you guys talked about, I guess, sort of market and geopolitical factors that sort of led you to move away from your strategic review. If we assume that some of those other factors are also weighing on competitors of yours and the market doesn't end up, I guess, as fluid or you don't see the M&A opportunities that you hope for accruing, is this sort of pool free cash flow fungible in any way? If we were thinking about that sort of previous 50-50 split, if the pipeline isn't maybe as robust and you can't execute on some of the things that you would like, would you consider from one year to the next tilting more of that cash flow allocation towards capital return? Thank you.
Craig Abrahams: Yes. So, Clark, I will try and disaggregate that. I think there's three separate concepts going on there. I think the first is the decision that was made to pause strategic alternatives. And it was cited that there was geopolitical factors tied to that decision. Separately is the M&A environment, which for us, most of the acquisition targets we look at, or there's some in Israel, but also outside of Israel. And we have not seen that necessarily impacting our ability to go out and due diligence and explore opportunities for transactions. And the third concept is capital allocation, which I believe is pretty independent of the first two -- or of the first one. And the second one, 50% of capital allocation is dedicated to M&A. And the other 50% is to capital returns, both dividends and exploring the idea of buybacks. And so I don't think that they're necessarily tied there. Obviously, folks that operate in those regions some have been impacted and obviously, had to make adjustments as we have to ensure operations are not affected.
Clark Lampen: Thank you.
Operator: Our next question will come from the line of Eric Sheridan with Goldman Sachs.
Eric Sheridan: Thanks so much. Maybe a two-parter following up on Clark's question. First, in terms of what you've learned as the marketing environment has become volatile over the last couple of years, what are the key learnings in terms of driving incremental ROI that you're taking out of the 2022, '23 period that informs your marketing strategies going into '24 and beyond? And then looking into '24 and beyond, how should we be thinking about elements that could increase ROI like scale as you execute on the M&A strategy, AI becoming a more -- a larger component of marketing overall or other elements that could sort of amplify ROI over the medium to long term? Thanks so much.
Nir Korczak: Hi. It's Nir Korczak, Playtika CMO. So first and foremost, we need to understand that we have a very wide range of different games. And for each game, obviously, we build a tailor-made marketing strategy. So when we look at the market, we need to understand also the competition and also what we want to achieve for the long-term. So what we are basically trying to understand sometimes the ecosystem is changing. As you mentioned before, the competition becomes a bit tougher and we need to spend a bit more in different strategy. So always, we adjust our strategy towards area where we believe that, for the long-term, we will provide the best ROI. So that's for the first part of the question. The second part, what we are basically doing for leveraging technology and AI? So it really depends on the different sources and of course, what's going on in the platform. So at the end of the day, what we are trying to achieve, we are trying to create a very diverse portfolio with diverse sources so that we will not be relying on any specific source and we are trying to push the one with the highest ROI, obviously, and see it over there, whether we can leverage technology and improve our results. So that's our strategy. And of course, we are tailor-made for each one of the games differently.
Eric Sheridan: Thank you.
Operator: Our next question will come from the line of Matthew Cost with Morgan Stanley.
Matthew Cost: Hi, everybody. Thanks for taking the question. Maybe I'll start just by asking about what you're seeing in the broader mobile gaming market because we have seen some steps up in consumer confidence over the past couple of months. I'm wondering if you're seeing any change in consumer behavior either late last year or into this year, particularly because as you lean into marketing, you're also expecting revenue roughly flat year-on-year? So do you expect to be outperforming a down market in line with the flat market? How should we think about what that guidance means relative to the broader backdrop? And then I have one follow-up. Thank you.
Craig Abrahams: Sure. So I do believe the macroeconomic environment has been tricky over the last few years, but I think it's -- we've really seen titles that are able to execute on their road maps are successful and grow. And if you look at our casual portfolio, it's up 5.5% last year. And if you look at where we've struggled, it's been some of the more competitive categories like with the slot themed games. And so I think some of that is not necessarily based on what's happening more broadly in the environment, but I think we've been more affected by changes in the advertising ecosystem, which affects the ROI of acquired traffic. And so I think that has probably been the biggest impact on the mobile game industry rather than consumer discretionary spending. We've always thought that mobile gaming is one of the more resilient areas within the economic environment. And so I think it's really more based on what's happening in the ad environment than the macroeconomic environment at this stage.
Matthew Cost: Okay. Thank you. And then -- so there was -- obviously, I think you noted it very well in the prepared remarks about a step-up in marketing in the fourth quarter. You've historically seen kind of an opportunity in the first quarter every year to lean into marketing. Should we expect that same seasonality where there's like a meaningful sequential step-up in your marketing spend in the first quarter this year?
Nir Korczak: So, hi, it's Nir again. So obviously, we are well familiar with the seasonality around the marketing. And I believe that you saw what we did at the end of the year. We launched five new campaigns basically at the end of the year and trying to start the year strong. Obviously, I cannot elaborate about the results of the campaign, but we are very bullish about our strategy and how we see things forward. Thank you.
Matthew Cost: Thank you.
Operator: Our next question comes from the line of Jason Bazinet with Citi.
Jason Bazinet: Thanks. I just had a question about these ad changes. I think that you're referring to Android and Apple. Maybe you could just unpack it a bit for us because when I look at your revenues, they're sort of flat. Your ad outlays are sort of flat. Like it's not obvious that these changes have sort of diminished your financials, and yet you guys are talking about this if it might be sort of -- it has been a big change and it's going to be a big change. So do you mind just sort of fleshing that out a bit?
Craig Abrahams: Sure. So I think we're referencing it as we look at guidance for 2024 as we're making incremental investments. And I think we've always been very transparent with the trends that we've seen in the marketplace and how it's impacting us. And so I think this is no different. Ramping up spend in Animal & Coins impacts margins. And I think as for the rest of the portfolio, we saw the need for selected titles to continue to ramp up investment. And so that combined with some of the mix shift has impacted our guidance for next year. But I think in terms of -- historically, we've been very good at leveraging off-line campaigns and doing a variety of different things to ensure that we're able to navigate a changing environment.
Jason Bazinet: Okay. And if you had to parse the sort of decision on your part to sort of lean into Animals & Coins and spend more in marketing as opposed to the Android-Apple changes that are happening in the ecosystem. Is there a way to parse that out in terms of the impact on your EBITDA guidance for next year?
Craig Abrahams: Yes, there is not.
Jason Bazinet: Okay. Thank you.
Operator: Our next question will come from the line of Eric Handler with ROTH MKM.
Eric Handler: Good morning. Thanks for the question. Craig, I wondered if you could talk about, when you look at your fourth quarter results relative to consensus, you had a nice top line beat, but EBITDA was just in line. And I'm curious, was that -- obviously, marketing dollars was the big reason for that. But what type of -- how fast are you getting a return off of your advertising? Do you see an instant lift? Or does it take one quarter, two quarters? How should we think about that?
Craig Abrahams: Sure. So you are correct in that we leaned into marketing to invest in the fourth quarter, but again, came out above consensus on both revenue and EBITDA. I think -- so we look to make return investments in a variety of games. They all have different payback periods. Obviously, some of the newer, fresher titles can payback periods in a matter of months. Some of the longer -- some of the legacy titles can take over a year, depending on the title. So I think we have our own targets. It's different by title, by platform, by jurisdiction, and we invest towards those targets.
Eric Handler: Great. Thank you very much.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.